Operator: Good day, and welcome to the Steel Dynamics' First Quarter 2021 Earnings Conference Call. At this time all participants are in a listen-only mode. After management's remarks we will conduct a question-and-answer session and instructions will follow at that time. Please be advised this call is being recorded today, April 20, 2021 and your participation implies consent to our recording of this call. If you do not agree to these terms please disconnect. At this time, I'd like to turn the conference over to Tricia Meyers, Investor Relations Manager. Please go ahead.
Tricia Meyers: Thank you, Darrell. Good morning, and welcome to Steel Dynamics' First Quarter 2021 Earnings Conference Call. As a reminder, today's call is being recorded and will be available on our website for replay later today. Leading today's call are Mark Millett, President and Chief Executive Officer of Steel Dynamics; and Theresa Wagler, Executive Vice President and Chief Financial Officer. The other members of our senior leadership team are joining us on the call individually as we are all following appropriate social distancing guidelines. Some of today's statements, which speak only as of this date may be forward-looking and predictive, typically preceded by believe, expect, anticipate or words of similar meaning. They are intended to be protected by the Private Securities Litigation Reform Act of 1995 should actual results turn out differently. Such statements involve risks and uncertainties related to our steel, metals recycling and fabrication businesses as well as to general business and economic conditions. Examples of these are described in the related press release as well as in our annually filed SEC Form 10-K under the headings forward-looking statements and risk factors found on the Internet at www.sec.gov, and if applicable, in any later SEC Form 10-Q. You will also find any referenced non-GAAP financial measures reconciled in the most directly comparable GAAP measures in the press release issued yesterday entitled Steel Dynamics Reports Record First Quarter 2021 Results. And now I'm pleased to turn the call over to Mark.
Mark Millett: Well, thank you, Tricia. Good morning, everybody. Hey, I had you folks on mute, but welcome to our first quarter '21 earnings call. We certainly appreciate you joining us today. I believe the entire Steel Dynamics team delivered a tremendous first quarter performance. It was filled with operating and financial records, including record net sales, operating income and adjusted EBITDA. It was an extraordinary performance yet again, driven by the dedication and passion of our teams. I'm incredibly proud to work with each of them. They're a special group, accomplishing exceptional things. Due to the continued commitment of our teams to one another, our families and our customers, we continue to operate safely amidst COVID-19. Operations have continued essentially unabated. We continue to closely monitor the situation and adapt as necessary to ensure our teams' health. The health and welfare of our teams is the highest priority. And I think each of them for their continued commitment to our safety. Because record results don't matter unless everyone goes home safely at the end of each day. The number of injuries and their severity improved in the first quarter '21 compared to last year. The teams are focused on reducing hazards and practices that could result in significant injury. Nothing is more important than the health and safety of our people. Safety is and always will be our number one value. Our safety performance continues to be significantly better than industry statistics. But our intent will always be the drive towards zero incident work environments. To achieve this, we must all continuously be aware of our surroundings and our fellow team members, keeping safety top of mind to control safety, both in the traditional sense as it relates to keeping one another in good health. Before I continue further, Theresa will provide insights into our recent performance. So Theresa?
Theresa Wagler: Thank you, Mark. Good morning, everyone. I want to add my sincere appreciation and congratulations to the entire Steel Dynamics team. As Mark said we achieved numerous milestones and delivered a record first quarter performance. We achieved record revenues of $3.5 billion derived from near record quarterly steel shipments, record fabrication shipments and strong product pricing across all of our operating platforms. We achieved record quarterly operating income of $594 million and net income of $431 million or $2.03 per diluted share. And we had strong cash flow from operations of $262 million with a record quarterly adjusted EBITDA of $664 million, truly an extraordinary performance. Our first quarter 2021 results included costs of approximately $20 million or $0.07 per diluted share associated with the construction of our Sinton Texas Flat Roll Steel Mill. Excluding these costs, first quarter 2021 adjusted net income was $445 million or $2.10 per diluted share above our guidance of $1.94 to $1.98 due to stronger than anticipated March steel shipments as order activity remains very strong. Our first quarter 2021 revenues of $3.5 billion were 36% higher than sequential fourth quarter results, with growth from all of our operating platforms, and most significantly from our steel and metal recycling operations based on record flat roll steel selling values and strong shipments. Our first quarter 2021 operating income was $594 million, $335 million, or 130% higher than sequential fourth quarter results due to higher real life flat roll steel pricing more than offsetting increased scrap costs. As we discuss our business this morning, you'll find we continue to see positive industry fundamentals for the remainder of 2021. And we are confident in our fourth coming unique earnings catalysts. For steel operations we generated $641 million of operating income in the first quarter more than double fourth quarter sequential earnings as flat roll steel selling values increased significantly to record levels throughout the first quarter, driving expanded metal margins. We also saw expanded margins within our long products operations based on higher prices. First quarter steel shipments of 2.8 million tons were 6% above our sequential fourth quarter volume and only 25,000 tons less than our quarterly record set in the first quarter of 2020. Our steel mills operated at 93% of their capability during the quarter well above the industry average of 77%. As a reminder, we still have additional market share opportunity based on our existing annual steel shipping capability of over 13 million tons and when we finish our new Texas steel mill and it's fully online, we'll have over 16 million tons. As domestic steel production increased scrap demand strengthened in the first quarter, resulting in significantly higher scrap prices and resulting metal spread expansion. Operating income from our mills recycling operations was $54 million, nearly 100% improvement sequentially. The team continues to effectively lever the strength of our vertically connected operating model benefiting both our steel and metals recycling operations by providing higher quality scrap, which improves furnace efficiency and by reducing companywide working capital requirements. Despite record first quarter 2021 shipments for our steel fabrication segment, first quarter operating income was $10 million, compared to sequential fourth quarter earnings of $25 million. Lower earnings were the result of metal spread compression, as higher average selling values were offset by significantly higher steel input costs. As evidenced through our record shipments, record order backlog and extremely strong continued order activity, lower first quarter earnings is not reflective of a weaker demand environment. It is a matter of timing, as higher steel costs are being matched with a six-month order backlog in which joist and deck prices were lower. This will begin to reverse in the coming months as current steel joist and deck prices have increased considerably. Our cash generation continues to be strong based on our differentiated business model and highly variable cost structure. During the first quarter of 2021, we generated cash flow from operations of $262 million. Operational working capital grew $411 million during the quarter driven by higher customer account and inventory values due to increased pricing in shipments. During the quarter we also invested $310 million in capital investments, of which $254 million was invested in our new Texas flat roll steel mill. For the remainder of 2021, we estimate capital investments will be roughly $650 million to $700 million, with the Texas steel mill representing about $535 million of that amount. This estimate does not include spending for construction or the recently announced four flat roll steel coating lines. We believe the lines will cost between $400 million and $425 million combined, and we will likely fund between $50 million to $75 million for engineering and down payments late this year. The lines are currently planned to begin operating sometime in the second half of 2022. In February, we also increased our cash dividend 4% to $0.26 per common share based on our ability to consistently generate strong cash. Since 2016, we've increased our cash dividend over 85% and invested $1.3 billion in our common stock, representing over 15% of our outstanding shares. We have $444 million that remain authorized for share repurchases. These actions reflect the strength of our capital foundation, consistent cash flow generation, strong liquidity profile and the continued optimism and confidence in our future. We're in a position of strength, with liquidity over $2.4 billion at the end of the quarter, comprised of cash of $1.2 billion and our fully available unsecured revolver of $1.2 billion. Our capital allocation strategy prioritizes responsible strategic growth with shareholder distributions comprised of the base positive dividend profile that is complemented with a variable share repurchase program, while also being dedicated to preserving our investment grade credit rating. We're squarely positioned for the continuation of sustainable optimized long-term value creation. And we believe sustainability is a part of our long-term value creation. And we're dedicated to our people, our communities and our environment. We're committed to operating our business with the highest integrity and have been since our founding. We produce steel using only Electric Arc Furnace technology with recycled ferrous scrap as the primary raw material. EAS steel production technology currently has the least environmental impact, is the most cost effective and provides the most operational flexibility. With the addition of our mills recycling and fabrication platforms, we intentionally developed a vertically connected operating model crane and almost closed loop manufacturing business, which both benefits us financially and reduces our environmental impact. In 2020, we shared our qualitative climate related goals and our most recent sustainability report. This summer, we also plan to adopt quantitative goals to reduce greenhouse gas emissions, participate in greater renewable energy use and continue to invest in energy efficiency opportunities. We're currently in the process of assessing the use of renewable energy alternatives at our steel mills. Our sustainability and environmental impact strategy is an ongoing journey. And we're moving forward with the intention to make a positive difference. We plan to continue to address these matters and to play a leadership role in developing innovative ways to reduce our impact on the environment. For those of you that use our detailed shipments for the flat roll product for your models, in the first quarter of 2021, we have hot-rolled P&O shipments of 774,000 tons, cold-rolled of 149,000 tons and coated of 996,000 tons. On a personal note, I just want to continue to thank the teams for operating safely and for taking care of one another from a health perspective as well. Mark?
Mark Millett: Thanks Theresa. Taking on operating platforms in turn, the steel fabrication platform delivered a strong performance, achieving record quality shipments while navigating rapidly escalating steel input costs, higher steel costs compressed first quarter steel fabrication earnings due to a matching six-month order backlog to more current steel prices. However, based on the strength of steel joist and deck and demand we're currently placing orders at record prices. Our order activity is extremely strong. We ended March with a record fabrication order backlog that is over 50% higher than our previous peak. The non-residential construction market remains strong especially in areas that support online retail, computing activities and healthcare, specifically represented by construction of large distribution and warehouse facilities. Driven large part to changes in consumer behavior, we believe this dynamic will continue for the next several years. We already have steel fabrication facilities located throughout the US and in Mexico, providing us with an advantaged broad based customer supply chain. In order to serve increased customer demand, we will be expanding our production capability. For us it is not necessary to add physical assets, we simply will be providing jobs to additional team members to support increased operating hours, thereby further improving asset utilization. These new crews will be trained and become active between now and late summer '21, increasing our annual production capability by as much as 25% to 30% or over 100,000 tons. Our metals recycling operations had an extremely strong quarter with quarterly operating income of $54 million, nearly doubling sequential fourth quarter earnings and over five times higher than prior year first quarter earnings. Strong ferrous demand and increased pricing related to higher domestic steel production drove strong performance. Prime scrap index pricing increased over $170 per gross ton during the first quarter. Prime scrap generation is strong based on North American manufacturing. We expect North American scrap generation to outpace increased demand from steelmaking in 2021. Obsolete scrap generation has also been strong post the extreme February weather conditions. Based on continued solid scrap generation, we believe scrap pricing will remain somewhat steady during the rest of the year. As Theresa mentioned, the steel team had an outstanding quarter, achieving numerous operating and financial records. We achieved near record shipments, just 1% less than our first quarter 2020 record, and up 6% sequentially. We achieved record quarterly operating income of $641 million, over 10% higher than our previous peak. So many contributed to these incredible achievements, including our commercial teams, our other operating platforms, suppliers and especially our loyal customers. While the domestic steel industry operated at an increased utilization rate of 77% during the first quarter, the strength of our differentiated business model, combined with a passion of our people drove our steel production utilization to 93%. Steel demand is strong across the steel platform, including both flat and long steel products. However, the flat roll steel markets remain especially tight. Underlying demand for flat roll steel products recovered much more quickly than expected in the second half of last year and gained further momentum in this recent first quarter. When coupled with historically low customer inventory levels across the supply chain, flat roll steel prices have been supported at historically high levels and customers are placing orders for immediate demand requirements. They have not rebuilt inventories since the speculative risk associated with the accumulation of higher priced inventory is a significant deterrent, even if it was available. Additionally, we believe current legislative steel trade policies will continue to moderate steel imports. The current US administration has also commented constructively concerning trade parameters and the issues with China. From an end market perspective, the automotive sector has experienced the strongest recovery operating at very high production levels due to low inventories coupled with strong consumer demand. March's seasonally adjusted production represented almost 18 million units and inventories were close to 30% below the five-year average. We've been fortunate that our automotive order book has not seen any significant impact from the current electronic chip shortens. The non-residential construction sector remains strong with continued positive momentum, as evidenced by record structural and rail division shipments, record steel fabrication shipments and strong customer backlogs. We expect this strength to continue through the rest of this year and certainly into next year. Residential construction has also been strong, producing high demand for related HVAC and appliance products. In addition to supporting high non-residential construction demand, the growing online retail shift is supporting steel demand strength throughout the supply chain service providers such as truck trailer and material handling. We're also seeing healthy demand from mining and yellow goods customers that are engineered by our products division. In the energy sector, solar is a substantially growing market. And we're also seeing some indications of improved oil and gas activity. We continue on our successful track record and margin enhancing differentiated growth. We have executed numerous strategic investments across the company in the last several years. And we continue to position Steel Dynamics for the future. Our teams and our customers are extremely excited about our Sinton Texas Electric Arc Furnace Flat Roll Steel Mill investment. It represents a transformational step function increase in Steel Dynamics through cycle cash flow generation capability. It provides next generation electric arc furnace steel production capabilities, new products and new customers. The facility is designed to have product capabilities beyond that of existing electric arc furnace flat roll steel producers competing even more effectively with a higher carbon emitting integrated steel model and foreign competition. It provides us with a broader steel portfolio and provides our customers with an even larger climate conscious supply option. The team's momentum is unbelievable and to be admired. We have an incredible depth of experience in the construction, startup and operation of large steel manufacturing assets. Collectively, we likely have more relevant experience than any other company in the industry. And construction is going extremely well. The new 3-million-ton state of the art flat roll steel mill will include two value added coating lines comprise the 550,000 ton galvanizing line with Galvalume capability and a 250,000 paint line. We plan for these two value-added coating lines to begin operating by the end of the second quarter '21 using flat roll substrate that had full operations. Our Sinton Electric Arc Furnace Steel Mill is adhering to the same stringent sustainability model as our other steelmaking facilities, utilizing state of the art environmental controls and processes to produce high quality sustainable lower carbon steel. Our steel mills have a fraction of the greenhouse gas emission and energy intensity of average traditional steelmaking technology. The Sinton provides a strategic location near Corpus Christi. We have three targeted regional commercial markets for unused steel mill which represents over 27 million tons of relevant flat roll steel consumption in the southern and western United States and Mexico. We also plan to effectively compete with steel imports. Our customers are excited to have a regional flat roll steel supplier. We have four customers committed to locate on site representing over 1.3 million tons of annual processing and consumption capability. We're still speaking with several other potential on site customers, as well as those that are building facilities off site yet near our campus. Our location provides a significant free benefit to most of our intended flat roll customers. Compared to the current domestic supply options, we believe that potential customer savings would be at least $20 to $30 per ton and some would be much higher. Coupled with much shorter lead times we can provide a superior customer supply chain solution. It also allows us to effectively compete with imports, which inherently have long lead times and speckled that price risk. We've also made considerable progress concerning our raw material procurement strategy. We completed the acquisition of a Mexican scrap company last August, which was a critical step for us. The acquisition complements our current metals recycling business in both the US and Mexico. The operations are strategically located near high volume industrial scrap sources throughout Central and Northern Mexico. They have an estimated annual scrap processing capability of almost 2 million gross tons. We also acquired three small scrap locations in the Houston and Corpus Christi area to help serve Sinton's raw material needs. Our performance based operating culture, coupled with our considerable experience in successfully constructing and operating highly profitable steel assets, positions us incredibly well to successfully execute this transformational growth. As we've said before, we're not simply adding a flat roll steel production capacity. We have a differentiated product offering a unique regional supply chain solution, a significant geographic freight and lead time advantage and offer an import sustainable alternative to a regional in need of options. We've also recently announced plans to add four additional value-added flat roll coating lines, comprised with two new paint lines and two new galvanizing lines with Galvalume coating capability. Galvalume products represent the fastest growing flat roll steel market in the United States, primarily serving the metal building industry. This market is historically sourced as much as 45% of the needs from foreign imports. Our preferred cost effective supply chain has resulted in our existing lines consistently running at full capacity through both increased consumption and market share again. Two of these lines will be located in the southern US region to be comprised of a new paint line, and a galvanizing slash Galvalume line, with a combined annual coating capacity of 540,000 tons, requiring an estimated investment of $225 million. These lines will provide Sinton with similar diversification and higher margin product capabilities as our Butler in Columbus flat roll steel divisions. The remaining two lines will be located in the Midwest, and will also be comprised of a paint line and galvanizing line with Galvalume capability with a combined annual coating capacity of 540,000 tons and will require an investment of between $175 million and $200 million. These lines will support our regional flat roll steel operations, providing them with more value-added product diversification to serve our customer needs. We currently believe these lines will begin operating in the second half of '22. Our strategy consistently places value added products and supply chain differentiation of the four and has benefit us well, both through good and poor markets. In closing, our culture and the execution of a long-term strategy continues to strengthen our financial position through consistent strong cash flow generation and long-term value creation, clearly demonstrating our sustainability and differentiating us from our competition. Our amazing teams provide the foundation for success. I thank each of them for their passion and dedication to each other and our other stakeholders. To each of you, please remember that your health and safety is always the most important issue at hand. I thank you for all you do. Your spirit of excellence drives us to success. With that said Darrell, would you please open the floor for questions?
Operator: Thank you. [Operator Instructions] Our first questions come from the line of Sathish Kasinathan of Deutsche Bank. Please proceed with your questions.
Sathish Kasinathan: Yeah, hi, good morning, Mark and Teresa. Thanks for taking my questions. So my question is on the flat roll steel pricing. In the past you have indicated that the flat rolled steel pricing typically lags by two months based on your mix of spot or index-based contracts. Given the external lead times, delivery delays and maybe changes to the contract mix, what would the lag be in terms of today's market?
Theresa Wagler: That's a great question Sathish. So in the first quarter generally, we're somewhere between probably 55% to 60% contract business in any given quarter related to just our flat roll operations. But because of the way that contracts have minimum and maximum volumes, in the first quarter, we actually had probably a little over 70% of our mix was contract related. So it was more than we typically would have. However, going into the second quarter, you're likely to see that moderate back to a 60% to 65%. And so we think it'll get closer to what we normally see. And the lag is generally around two months.
Sathish Kasinathan: Okay. Sorry. Just one follow up question if I may. At Sinton do you have like a target base load for the mill? And in terms of ongoing discussions with other customers, could you be able to quantify what the potential incremental volumes could be compared to the 1.3 million tons already committed?
Theresa Wagler: We had the update - the customers that have committed to be on site. There's four in place today that represent just over 1.3 million tons. We're currently having discussions with at least two others. Mark, I don't know if you want to comment on the additional volume that may come with that or not?
Mark Millett: Well, we would anticipate, I think, at the end of the day, with seven customers on site, it's been absolutely incredible, the excitement that we've seen, and we've been very, very intentional as to the type of customers such that we have a broad spectrum of processing capability. So light gauge processing capability, heavy gauge, hot band, automotive, and also pipe consumers and other fabricators. So I would imagine at the end of the day, again, that 1.3 million tons will grow. Again, that's not all consumption. A lot of it is processing capability. But it should end up being perhaps 1.4 million tons by the time we're done.
Theresa Wagler: And just to add to that Sathish, we've actually had several customers that were not able to locate with us on site because of area constraints, et cetera. But there are those that are moving contingent or contiguous to the site. So there is a lot of excitement among the customer group.
Sathish Kasinathan: Great. Thank you.
Operator: Thank you. Our next questions come from the line of Seth Rosenfeld with Exane BNP Paribas. Please proceed with your question.
Seth Rosenfeld: Good morning, I guess the follow up please with regard to Sinton, can you provide any update or more details on the ramp up schedule for the facility, and when exactly you would expect to reach full utilization of 3 million tons? I think last quarter you noted downstream lines began ramp in late Q2 up in early Q3. Any update on those figures, please?
Mark Millett: Certainly, I think the downstream lines, as we've said in the past will come up before the hot side, but the paint line, the galv line and pickle line, we believe will stop commissioning in June, with some limited shipments beginning in July. I think generally, volumes will be a little constrained through those three lines due to the strong SDI backlog right now and a limited availability of third-party volume. It was our anticipation some time ago that we will be transferring tons down there. But again, it's a good and a bad situation. Our mills are absolutely jam packed with orders. And again, it's tough to get third party supply. But those will be commissioned on time and we'll start to see incremental shipments in the third and fourth quarter. The hot strip mill obviously is of prime importance to get that up and running. That it will be commissioned in September. And I would expect the shipments to commence in Q4 and one has to recognize that as we start the mill up, we'll be also hiring to build working process inventory. So not every ton produced will be shipped. But I would imagine volume to be around 150,000 to 200,000 tons for the fourth quarter. For 2022, the expectation is still to ship around about 80% of eventual capability, so somewhere between 2.2 million to 2.4 million tons.
Theresa Wagler: And that's from a full utilization as we run Columbus and Butler, basically at full or over full capacity. We don't see any reason why could achieve that in the 2023 timeframe.
Seth Rosenfeld: Thank you, just a follow up with regards to the 2022 guidance, is the view that you'd be at the 80% run rate on an annual basis by the end of '22, or calendar '22, you expect that 2.2 million to 2.4 million ton out the door?
Mark Millett: No, we would expect 2.2 million to 2.4 million tons of actual shipments.
Seth Rosenfeld: Wonderful, thank you very much.
Operator: Thank you. Our next questions come from the line of Emily Chang with Goldman Sachs. Please proceed with your questions.
Emily Chang: Good morning, Mark and Teresa. My first question is just around sort of the capital allocation strategy. As you have the startup of Sinton quickly approaching and coupled with what looks like a phenomenal year for steel prices, how should we be thinking about longer term capital allocation policy? Should we be expecting more growth spend above and beyond the cutting line investments that you've recently announced? Or will there be maybe a more meaningful pivot to shareholder returns?
Mark Millett: Well, I think generally our cash allocation strategy has been pretty consistent over time, and will continue to be so. We'll still be focused on retaining a conservative perspective regarding balance sheet structure and liquidity to fully support our investment grade profile. Our through cycle cash generation capability will remain strong, and obviously, with Sinton and with the additional projects will increase dramatically. And I think the exciting thing is, as you point out, we're going to have a lot of cash to allocate. We'll continue growth. We've announced our four new lines, again, a little sort of head of our own personal - sort of timeframe, to help diversify that mill dramatically along the lines of Butler and Columbus. But there will be significant cash remaining after that growth. We'll continue to have a positive dividend profile, cash dividend profile. And as you've seen in the past, when we have a step function increase in through cycle cash generation capability, we do quite a meaningful bump. So I would expect that to happen in the future the next year. And obviously, to supplement that that shareholder return was continuing to look at share buybacks.
Theresa Wagler: I would just add, so there are transactional opportunities as well. And so we are a growth company. And so there is the organic side, which I think Sinton represents the largest project, and that we've had. But as you think about transaction opportunities, whether it's in manufacturing businesses that utilize our steel as raw material input, or whether it even the steel production assets perhaps that's something definitely we can differentiate the business and improve the business and add a lot of value. We're still very interested in things like that as well.
Emily Chang: That's very helpful. And if I can squeeze in a quick follow up just on the infrastructure plan that's being floated right now. Any sort of early thoughts on what that could mean for steel demand longer term and your views as to whether or not there's sufficient capacity to meet this longer term?
Mark Millett: Well, it's difficult to tell exactly what that sort of incremental volume is. You see 3 million, 4 million tons being bantered around. I can't say that we've fully analyzed that. But obviously, there will be improved demand. There's obviously a major sort of clean energy aspect to it. So solar, I think will help steel consumption demand and certainly our activities at Steel of West Virginia are already benefiting from that. I think beyond the actual sort of steel consumption perspective just the overall economic benefit from that and from other stimuli the economy is going great guns today and it's just going to keep it going. So it's an exciting time.
Emily Chang: And I think that's really helpful. Thank you.
Operator: Thank you. Our next question comes from the line of David Gagliano with BMO Capital Markets. Please proceed with your question.
David Gagliano: Okay, great. Thanks for taking my questions. I just wonder if we could switch gears to kind of current market conditions and looking ahead a bit here. Obviously, we've got this extremely tight market, record high prices, lead times still extended and we've seen a lot of I think low hanging fruit on the capacity side now restarted and everything still very tight. So typically, one of the ways you saw for this is imports. And I'm wondering if you could just comment on why this time should be different with regards to import flows being somewhat constrained. Given that we're at record high regional premiums, I think there's very good reasons for it. I was just wondering if you could share your thoughts. Thanks.
Mark Millett: Well, again from our perspective, and there are those - I saw some commentary sort of questioning demand. Demand out there is absolutely phenomenal, across almost every sector. Very, very strong and it would appear to be there for the rest of this year going into next. As you mentioned, most of the - if not all, the reasonable production capability in the US has returned. I think any further additions will be limited. There are sort of additions coming in later this year. Ours will start shipments in the fourth quarter, as I said, but nothing major on the plus side. And it's going to be offset in all honesty, if you look at the maintenance outages in the integrated industry and some shutdowns on the minimal side of things, supply side will absolutely remain tight. So as a great balance will support the market. The issue in the past has been import increases. And I don't think you'll see - you're going to see material increase. It is picking up, there's no doubt about that. But you've got a world economy. Europe is strong, China is strong, most markets are in great shape and so the import availability today is not there. You may get the arbitrage to become more attractive perhaps on the surface. But the availability and the lead times are stretched out. And very few people are going to want to take that speculative risk buying whatever 1,400 bucks today, just taking that risk for that to tumble later in the year. We don't see that though. So we see strong demand, tight supply, record low supply chain inventories across the space. And I think imports - moderate levels of imports that will be continued to be supported by the administration. Actually, I think the commentary relative to trade is very, very positive. Today they recognize that we've been at a kind of a financial war with China for a long time. And they recognize the issues there and I don't think that the 232 tariffs will be unwound in totality. They may take a slightly different shape, but trade constraint will remain in the years ahead. So I think it's a remarkable environment that we're in today. And I think it's just wherever you look anecdotally - housing, there are no houses to be bought today. Or you saw a pickup in the residential markets in March. And that will continue and as playing strength in HVAC and appliance. If you go try and buy a refrigerator today or washing machine, you're probably going to have to wait four or five months for one that you actually want. So just everywhere you look in the supply chain things are stretched and will kind of prolong these cycles. So we're incredibly bullish, I mean it's - we had a phenomenal first quarter. I think the second quarter is going to be multiples of phenomenal and is going to be a great year.
David Gagliano: Alright, that's helpful. Thanks for the additional color there. If I could just squeeze one more in as well, just switching back to what Teresa said earlier about use of cash down the road and transactional opportunities. I think you mentioned manufacturing business and/or still production assets. I'm not going to put you on the spot-on assets or anything like that. Just the question I'm really wondering is - you didn't mention organic steel production, so is it reasonable to assume that organic steel production, incremental organic steel production is off the table for now?
Mark Millett: I would say on the hot side for sure. Downstream, coating, value-add there's still I think, a myriad of opportunities for us. But if you look at Sinton for - that investment, that project is very, very, very unique both from a product standpoint, but also sort of a market or regional market standpoint. And that's what persuaded us to move forward there. I don't believe there are those types of opportunities available today. Yeah, if there's - there may be incremental where we'll take existing hot metal capability and add assets to use that existing capability. But I don't believe you'll see us - I'm pretty sure you won't see us building green - any more greenfield hot sites.
David Gagliano: Okay, that's helpful. Thanks very much.
Operator: Thank you. Our next question comes from the line of Andreas Bokkenheuser with UBS. Please proceed with your questions.
Andreas Bokkenheuser: Thank you very much. Just a couple of questions from me and following up on the last comments. We obviously saw flat roll steel shipments declined a little bit year-on-year. I think you've hit 1.9, not significantly below, but is that because production constraints that shipments actually fell year-on-year? That's the first question.
Theresa Wagler: Andreas, are you talking specifically about Steel Dynamics and our first quarter shipments?
Andreas Bokkenheuser: Yeah.
Theresa Wagler: Yeah. So it was a direct result of two of our steel divisions. We actually had improvement over all of our operations, except for Roanoke Bar Division and the Steel of West Virginia Division. And there have been some good improvements made there commercially and the team is doing incredibly well. And they think you're going to see a big shift and change in that. But that specifically, it wasn't anything that was noteworthy, and it was only about 25,000 tons difference, I think.
Andreas Bokkenheuser: Yeah. No, that's what I figured. Okay, that's very clear. And the second question, I mean, obviously, there's been a lot of talk in the market in recent quarters about the tightness of prime scrap and how the prime scrap market is going to grow even tighter with the EAF capacitors coming online, and so on so forth. And I'm sure you've seen some commentary, some people saying that EAFs are going to be the next high cost producers in the market and scrap prices are going to keep rolling and so on so forth. Where do you guys come down on all of this? I mean, effectively, is this just a question about you go a little bit further on the radius and basically collect a bit more prime scrap from other manufacturers and then there's sufficient supply of prime scrap for anybody who's willing to go a little bit further or do you see an actual amount of tightness in the market just given that manufacturing especially auto production is under pressure in the years to come?
Mark Millett: Firstly, I would suggest that scrap is an incredibly efficient market. It's probably the most effective commodity. I do believe that yes, there's additional capacity electrical arc furnace capacity come online. But if you do the math, you may need to find about - somewhere around 4 million tons of additional prime scrap. You also have to offset that a little bit because people forget the integrated mills use scrap, they use prime scrap and so with the reduced capacity there, there's a little less consumed on the integrated side of things. But I think if you look at the scrap market in general, we - even in these recent times we're exporting in around 12 million, 15 million tons a year. There have been times when we've exported 20 million tons a year. So scrap is certainly available. It may appreciate in price to some degree, but I don't believe you're going to see any significant issues from a profitability or a cost perspective for the electric arc furnace community.
Theresa Wagler: Andreas, as we look at -
Andreas Bokkenheuser: That is very clear. Sorry, go ahead.
Theresa Wagler: We pull together what we believe to be scrap generation over the coming years, and we added in new capacity related to electric arc furnaces. The scrap generation, both including prime scrap as well as prime scrap substitutes with a lot of the additional projects coming on line, we believe will outpace the increased demand. Though I know there's different philosophies being touted about out there right now. But that was our original promise and we still believe in that.
Andreas Bokkenheuser: Yeah. No, that makes a lot of sense. And I think your 4 million ton estimate is very much also in line with our own. So thank you very much for your comments.
Mark Millett: I think actually one more thing because, as they say, necessity is the mother of invention. And given the remarkable spread between prime scrap and obsolete today, our mills and I'm sure all of our competition is doing the same thing. But they are creating new mixes. And we've actually reduced our prime scrap requirements probably by over 10%, maybe more at our flat roll facilities. If the whole industry, electric arc furnace flat roll producing industry would to do that obviously, that's a meaningful reduction as well.
Andreas Bokkenheuser: Thank you for the -
Operator: Thank you. Our next question is comfortable a line of Carlos de Alba with Morgan Stanley. Please proceed with your question.
Carlos de Alba: Yeah, thank you very much. Just on the fabrication business. I think last quarter it was mentioned that the first quarter would be the bottom of the profitability cycle there. If I understood correctly, you said that this month probably - from this month on probably you start to see a margin expansion. So in fact can you elaborate a little bit more so that we fully understand where are we in the fabrication business profitability cycle? Yeah.
Theresa Wagler: Yeah. Absolutely. Good morning. So from the steel fabrication, we're likely to see March and April be the drought months as we are working through or have worked through the order backlog. Today, steel and steel deck - steel joist and steel deck prices are actually at all-time record highs and demand is extraordinary. So one should see that starts to develop, it's already into a record backlog that's reaching into the fourth quarter of 2021. And you're likely to see a better second quarter, but in the second half of the year, it could be quite powerful from an earnings perspective.
Carlos de Alba: Perfect. And if I made just a clarification on the CapEx, it is not much, but the Midwest. Two new coated lines are expected to cost a little bit more than those in the south. What is the reason for that if I may ask?
Theresa Wagler: Yeah. Carlos, it's actually opposite. And we may have said it wrong. The $225 million lines are likely to be in the south. And the $175 million to $200 million lines are likely to be in the Midwest. Mark, do you want to talk about the technical differences between the sets of lines, why one might be higher than the other?
Mark Millett: Well, quite simply one has a slightly higher product capability. The ones in the south tend to have some automotive capability. Whereas the one in the Midwest will be more building product targeted.
Theresa Wagler: I think has a little to do with the infrastructure that's possibly required as well.
Carlos de Alba: All right, thank you very much. Good luck in the quarter.
Operator: Thank you. Our next questions come from the line of Timna Tanners with Bank of America. Please proceed with your questions.
Timna Tanners: Hey, guys, good morning. Wanted to ask just really about production to follow up, so two things. One is your first quarter production, flat rolled products were down year-over-year and I thought I heard you say that it was a result of Roanoke and West Virginia which are long product. So I was kind of confused. I would assume and I think the big question for a lot of people in the industry is why are the mills not running full out given record prices? And yet you guys were down year-over-year and down from third quarter in flat roll. So just wondering what to think about that and how to model volumes going forward?
Theresa Wagler: Well, first of all, I'll just jump in. I thought Andreas was talking about shipments not production. So if I got that wrong that was my fault. Mark, you want to talk about the production side of things. We suffice it to say, Timna that we are running as hard as we can at both Butler and at Columbus. We aren't without some of our hiccups along the way as well. But we've rectified those and yeah.
Mark Millett: I think there's also an impact a little bit on the product mix and also on shipments from a standpoint of transportation. Logistics is a little tough right now. And we have greater opportunity for shipments than we actually ended up.
Timna Tanners: Okay, so upside from Q1 it sounds like. Thank you for that. And then Sinton, I was looking through my notes and I have a couple years ago, so maybe it's dated, but if you had said pretty clearly and talked about being able to ramp up quickly. So we had modeled a little more aggressive ramp up to be honest on Sinton, I have in my notes that you said within six months, you'd be at 80% of that. So I'm just wondering is there any reason for kind of the push out in timing and also just in the 2022 forecast you touted in the past inability to ramp up quickly and talked about your track record doing so. But so I was surprised that to 2.2 out of 3 million tons next year, thanks.
Mark Millett: Well, 2.2 million, 2.4 million tons is 80% of 3 million tons capability, Timna. And I think the team hitting that will be a remarkable feat.
Timna Tanners: Okay, thank you.
Operator: Thank you. Our next questions come from the line of Phil Gibbs with KeyBanc Capital Markets. Please proceed with your question.
Phil Gibbs: Thanks. Good morning.
Mark Millett: Good morning.
Phil Gibbs: And Mark, can you talk a little bit about automotive? I mean, there's a lot swirling given the chip shortages and the downtime at the - at some of the domestic and after producers. Even globally, you said your shipments remain strong. Obviously, the demand side of equation is very strong to your point. So I'm just trying to understand how this ultimately all plays out. Do you think the OEs despite all this were short on inventory, that's why they continue to take volume, maybe just help us think through this?
Mark Millett: I think the sort of end demand for vehicles today is incredibly strong. And the few dealers that I talked to are struggling to get inventory and feel that it's - that that strength is going to remain for some time. I think they were generally projecting somewhere between 17 million and 18 million units for the year. And the best prognostications are that the chip shortage may impact that by a million and a half. I'm not sure. All I can say is through our lens, and it's quite fortuitous, I guess. But the plants that are down are not ones that we supply. So we have not seen any material impact from a shipping standpoint. We have seen a slight impact on the scrap side. So I think you're going to see - whereas we anticipated that softening a little bit in the last month - for this month. I think prime scrap is probably going to be firm, maybe up a little. But then again, it's too early to tell the buy is still a couple of weeks ahead. But no major impact for us so far.
Phil Gibbs: Thanks Mark. And then on the engineered bar side you had a nice pickup in volume, very strong sequentially and up nicely year-on-year. Yeah, how much of that do you think is driven by automotive? I can't remember how much of your mix there is in that silo and yeah, how much is that - you think is related to the yellow good commentary you made?
Mark Millett: Well, I think there's a general impact across the space. We've seen a little greater activity sort of seams pipe for the for the energy markets, yellow goods is stronger, manufacturing is strong. But I would say the principal growth and target for that growth there has been automotive. I think we're around about 20% of the mix there right now. And if you remember some years ago, we installed a smaller diameter mill and that utilization is picking up quite dramatically.
Phil Gibbs: Thanks Mark. And if I could squeeze in one more here, lumber prices have been obviously astronomically high the last six to nine months. Steel prices have followed the trend, obviously. How much in some cases are you seeing substitution into steel, particularly as it relates to your fabrication book? And maybe some other things as competing products become more expensive as well? Thanks very much.
Mark Millett: Well, we've not seen any - at least I don't - I'm not aware of seeing any substitution threat right now. Obviously, all materials have come up together. But then again steel products are quite unique to replace - in the steel warehouse space where they want large spans, you obviously can't do that with lumber. You may see lumber substitution in high rise buildings in the past, but not in the growth area of distribution warehouses and that sort of thing.
Phil Gibbs: Thanks Mark.
Operator: Back concludes our question-and-answer session. I'd like to turn the call back over to Mr. Miller for any closing remarks.
Mark Millett: Well, super. For those that remain on the call, we certainly appreciate your time today and you're support of our company. For our employees, again, hats off to you, it was an absolutely phenomenal quarter and ask you to look after each other out there and be safe. And again, we wouldn't be able to have a phenomenal quarter without our customer base. We got some loyal phenomenal people that we worked with, that we partnered with over the years. So thank you, each and every one of you. With that said, make it a great day and be safe.
Operator: Once again ladies and gentlemen that does conclude today's call. Thank you for your participation. Have a great and safe day.